Operator: Ladies and gentlemen, thank you for standing by, and welcome to the New Residential Fourth Quarter and Full Year 2019 Earnings Call. At this time, participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.  Thank you.
Kaitlyn Mauritz: Thank you, Jack, and good morning, everyone. I’d like to welcome you today to New Residential’s fourth quarter and full year 2019 earnings call, and thank you for joining us. Joining me here today are Michael Nierenberg, our Chairman, CEO and President; and Nick Santoro, our Chief Financial Officer. Throughout the call this morning, we are going to reference the earnings supplement that was posted to the New Residential website this morning. If you have not already done so, I’d encourage you to download the presentation now. Before I turn the call over to Michael, I’d like to point out that certain statements made today will be forward-looking statements. These statements, by their nature, are uncertain and may differ materially from actual results. I encourage you to review disclaimers in our press release and earnings supplement regarding forward-looking statements and to review the risk factors contained in our annual and quarterly reports filed with the SEC. In addition, we’ll be discussing some non-GAAP financial measures during today’s call. A reconciliation of these measures to the most directly comparable GAAP measures can be found in our earnings supplement. And with that, I’d like to turn the call over to Michael.
Michael Nierenberg: Thanks, Kait. Good morning, everyone, and thanks for joining our fourth quarter earnings call. I’m proud to say that our company had a very good year of providing our shareholders with excellent results, despite the extreme levels of volatility we saw in the market last year. During the year, 10-year treasury rates began 2019 at 2.68%, fell to lows of 1.35% and ended the year at approximately 1.92%. Mortgage rates began the year at 4.55%, fell to a low of almost 3.5% and ended the year at 3.75%. As treasury yields plummeted, we saw mortgage spreads widen to levels we have not seen since the financial crisis. I mention this as our risk models and our team managed our book value to be essentially flat on the year. Our dividend remained unchanged despite the volatility we saw in the markets, highlighting the earnings power of our franchise. One of the goals was to stabilize book value, pay our dividends and mitigate any and all risks we could control. We did that and I’m really proud of our team. Our investment portfolio, the foundation for everything we do, performed well throughout the year. If we turn to new investments in the single digits, we maintained our discipline targeting certain asset classes for investments, while deploying less capital in areas where we felt we could not generate enough alpha for shareholders.
Operator: Certainly.  Doug Harter with Credit Suisse, your line is open.
Michael Nierenberg: Good morning, Doug.
Douglas Harter: Mike, can you talk – good morning. Michael, can you talk about kind of where you see relative returns across MSRs, loans, non-agencies and kind of how you’re thinking about deploying capital as it comes back to?
Michael Nierenberg: Sure. So on the – let’s go through each sector real quick. On the legacy non-agency securities market, which continues to pay down, we see levered returns there at something around 5% to 6% depending upon the type of asset class. And that’s on the legacy side. And some of the new deals you may see a tad higher, but in general, you’re talking about again 5% to 6%. The loan business on re-performing loans and our call strategies, we believe we continue to see in the double-digits around that part of our business. Our results have been very good. I do think there is going to be a scarcity of assets for sale as banks and our friends in DC continue to clean up their balance sheets. So if you look like last year, for example, I think supply was down probably something between 30% and 40% from the prior year overall in the re-performing and non-performing loan business, so that cause prices to go up. On a relative basis, if you look at the mortgage market and compare it to IT and high yields, we are – and I think you’ve seen some research out there – the mortgage market itself I think on a relative value basis is cheap to those sectors, so I think we’ll continue to see better performance. There is a lot of capital chasing the same assets. So, risk-adjusted returns are going to continue to tighten as long as we have a normalized kind of geopolitical world and economy. On the MSR front, we’ve been pretty active. I mean, obviously, we did the Ditech deal. Our MSR team has been active working with different third-party originators to acquire MSRs at what we think levered returns are kind of mid-teens at this point. The discipline around hedging and protecting book value there is something that is extremely important. But overall, returns have been terrific in that sector. So I think as we go forward, our continued growth will be around our MSR business, our loan business, our call business, and growing our operating businesses. All of these continue to be pretty much the same mission that we had since we began the company in 2013. So really haven’t deviated from there. On the opportunistic side, if things come our way, we look at a lot of deals, we look at a lot of different companies, we’ll continue to deploy capital as we see fit. But overall, I think we’re happy working on our call strategy, investing in MSRs, investing in loans, where we think the returns are good, probably less than the bond side and then see where we go from there.
Douglas Harter: Great. Thanks, Michael.
Michael Nierenberg: Thanks, Doug.
Operator: Bose George with KBW, your line is open.
Bose George: Hey, good morning. Okay, let me just ask about the mortgage banking business, just obviously the results thee have been very impressive, just curious how you’re thinking about that business going forward. Do you want to sort of think about replacing a certain percentage of your run off with origination or is it more sort of opportunistic as you look at different ways to grow that?
Michael Nierenberg: We’ll grow it opportunistically. I think where we are now, I mean, again, going back when we did the deal in 2018, in July of 2018, I think origination volumes at that point were about $3-billion-ish. Last year, we did $22 billion of origination. This year, we project $50-billion-plus. I want to just be clear, this is not about volume. This is about making money for shareholders. So when you look at our results of – in that segment of $225 million for the year, I personally believe when you look at some of our peers out there that I think did a great job in that business. We’ve only scratched the surface. I actually – I’m really excited about it. And I think we can truly grow earnings. I think the big thing to point out there, Doug, as well is – I’m sorry, Bose, is that one is we have a lot of room to grow in our recapture business. I pointed out that our recapture number is quarter-over-quarter up a lot. We have a $630 billion portfolio, so being good at recapture is only going to add earnings for our company, so that’s one. Two, growing our origination volumes from a profitability standpoint, if you looked at what Cooper and some of the other folks doing on the origination side, they do a great job and make a lot of money. We made I think a $130-odd-million in our origination sector, that will grow. So part of our whole thing is, it’s really core to our business to grow recapture, replace our MSRs where we see fit as long as we think we can achieve double-digit risk adjusted returns. And most importantly, when you look at the rate of that we are trading, grow our book value. We put in that slide to give everybody an illustration about how we think about book value, but by all means, we’re not going to invest capital. And I think going back to Doug’s question, at a 5% levered return just to do that, what we’re going to do is be smart about how we invest capital, grow our operating businesses that trade up multiples of where a financial services asset trades. And I think our book value should continue to grow. And that’s really our goal.
Bose George: So, okay, that makes sense. And then, actually just in terms of the growth there also, is it more sort of organic or do you feel like there are some acquisition opportunities that are out there as well?
Michael Nierenberg: We always look at – like I pointed out earlier, we look at everything that comes across the   for us. Well, what – all kinds of financial services companies. As we all know, it’s very difficult to do deals that are accretive for shareholders, so we typically don’t do a lot of deals, but we see a lot. I think right now, we’re in a good place to continue with our organic growth and work on our organization. The Ditech acquisition away from acquiring pools of assets has been a really good one, because when we look at where we are in our footprint, we got to the West Coast. So we have a large presence in  , a real good group of talented folks there, that came for the most part from the Ditech acquisition. So there is still a lot of work to do on that and we have a lot of room to get better on origination and recapture and as well as on the technology side. And I think if we do that, there is plenty of stuff for us to do at this point.
Bose George: Okay, great. Thanks a lot.
Operator: Matthew Howlett with Nomura, your line is open.
Matthew Howlett: Hey, Mike. Thanks for taking my question. Just to follow on, on the 2020 outlook, in terms of prioritizing the operational outlook, anything that stands out, do you want to integrate? Do you want to cut costs, anything that just stands out from  ?
Michael Nierenberg: How about – Matt, how about A and B? We want to integrate more and we want to cut costs. And we want to grow earnings. So the integration stuff has been really good. I mean, we work very closely with the Ditech team from the day we started this. And I think the integration at this point for the most part is done. We always need to get better quite frankly. We have facilities in a number of locations. We continue to evaluate that and what is best for our company and how to continue with – going back to those questions with organic growth, which we think we can do. Around cost, I think we’re going to get saved from the technology side. And I know every financial services company talks about technology initiatives. It’s hard, we all know that. The mortgage market itself is pretty antiquated. There are a couple of folks out there that, we think do a pretty good job there. But we got a lot of room to grow around probably those 3 areas.
Matthew Howlett: Got it. Okay. And then, just on the core numbers strong, up a lot sequentially, that you had strong gain on sales, prepayment speeds looked like they came down a little bit. And anything that that could swing that, I mean, going forward, it’s obviously well above the dividend. It looks like speeds are down in the first quarter. The   seasonally going to be low 1Q, but it looks like it’ll be over a $2 billion – $2 trillion market this year. Just, I guess, how volatile could that core number be going forward based on just the various macro variables?
Michael Nierenberg: It could be volatile, but I think a couple of things. Why I think we’re different. And this is one of the things, I tried to lead with we’re an investment company. So when you think about our portfolio, we have a $45 billion balance sheet. We have a $630 billion MSR portfolio. So if you think about $630 billion MSR portfolio, let’s say, rates went up 100 basis points. The value of that MSR portfolio would go up quite a bit, which would help in our core earnings relative to the offset that you’d likely lose on the origination side. The idea of getting into the origination and servicing business was: one, again, to stabilize our counterparty risk and give us a little bit more scale and capacity; two, is on the origination side to work harder on recapture. So even if rates were up, we think our recapture business should continue to do better, because we have a lot of room to grow there. But the overall investment portfolio in a higher rate environment should do really, really well. And I think, we demonstrated that before we even owned NewRez. So there’s a lot of thing to know in our business, when I look at our portfolio whether it be loans that are going to do better or worse, bonds that will do better or worse, our origination business will do better or worse, depending upon where we are in the rate environment, but the bottom line is that some of all those parts should continue to provide very good returns for shareholders.
Matthew Howlett: Great. Thanks, Mike.
Michael Nierenberg: Thanks, Matt.
Operator: Henry Coffey with Wedbush. Your line is open.
Henry Coffey: Yes, good morning and congrats on a great quarter everyone. You talked extensively on the last call about the importance of stabilizing book value and the number showed that you did a great job. There was even some concern like where do you put the dividend as a priority in that discussion, but with GAAP numbers where they are looks pretty good. Thinking about where the environment is today versus where it was in December? Is that – is it easier to hold book stable today versus December? Are conditions more challenging? What is your thought kind of on the overall tone of the market as it applies to book value?
Michael Nierenberg: A couple of things. One is 40 basis point rally in 10-year rate in 30 days or whatever it was as a result of the virus, is not easy to – for anyone of us that have been doing this a long time to hedge. So overall, as you think about that, that creates a little bit of a challenge. Theoretically, it could create a little bit of an opportunity, but as I pointed out in some of my earlier remarks, there’s a lot of capital being invested, not only in the mortgage market and fixed income assets. So when you look at the high yield index, which closed with – I mean, the investment grade index closed last week at 45 basis points. But the end of December was 45 basis points. So you’ve had a whole round trip from a spread standpoint, where we were at the end of December to where we are now. So assets continue to remain well bid. We’ve been pretty strategic in the month in acquiring some more mortgage serving rights. But I think, overall, we feel pretty good about our discipline around hedging our book. When you look at the balance sheet growth year-over-year, a lot of our agency growth is due to our need to hedge our mortgage servicing rights portfolio. So overall, we feel good about protecting book value where we are now. But it’s not – listen, we have a dedicated risk team. We have a lot of folks that are part of our company today, that are just focused 100% on risk. So – and they do a great job.
Henry Coffey: And then on the tech side, you tell us as much as you can or you want in terms of how that plays out as both in investment opportunity and what is doing for you? And I don’t know, if you’ll comment on this or not, but give us some insight into who you think is really doing a good job in terms of developing products for companies like yourself?
Michael Nierenberg: Good question. On the tech side, we have a lot of room to grow on our mortgage company. We have really good team leading that effort. We will not skim on budget as it relates to our development there and becoming as efficient as we possibly can. I don’t know that there’s much more I could say about that. But I think about some of the folks out there, there is always different names that are thrown out there that are really good or not really good. For us, I can’t – I don’t think it’s truly my expertise to tell you that somebody is the best technology company in the world just to be honest. But I will tell you this, from where I think the mortgage market was, is and where it’s been go, it’s going to change a lot. So to the extent, we have the opportunity to make investments in mortgage technology businesses that are at appropriate valuations, and I use that word carefully, because we see – as I pointed out, we see a lot of deals, we’ll make those investments. Some of our peers that have been doing this longer, I used a couple of names have done a great job around some of that stuff, I believe. But the industry itself, it’s still probably 20 years behind or 10 years behind from a technology standpoint. So I think there’s a lot of room to grow.
Henry Coffey: And just indulge me on this one. GSE reform, big gigantic maybe never, maybe a question mark. What sort of opportunities has that created for you? And what kind of opportunities, do you think it will create in the future?
Michael Nierenberg: Everybody keeps talking about the patch, and I pointed out in my earlier remarks about Fannie and Freddie. They hired Houlihan to look at, I guess – or FHFA did hire Houlihan to work with them on – I would gather, then coming back to the private markets at some point. I do think, it’s going to be an opportunity. I think, it’s very hard for any of us to sit here and handicap what that’s going to look like. We are in the middle of an election year. Whether they stay as part of the government or not, I think depends upon who gets elected. But I do think there’s going to some opportunities for us. Over time, I think, it’s very hard for any of us to handicap. If the patch goes away, we think that could create roughly an extra $200 billion of origination in the private market. So I think the growth of non-QM assuming that everybody does it prudently, the patch going away, I think, all of that stuff will lead to more capital investment from the private sector.
Henry Coffey: Great. Thanks and congrats on the great quarter.
Michael Nierenberg: Thanks, Henry.
Operator: Trevor Cranston with JMP Securities. Your line is open.
Trevor Cranston: Hi, thanks. Good morning.
Michael Nierenberg: Good morning.
Trevor Cranston: One more question on the operating businesses and then the growth you’re hoping to achieve in 2020. When you look at those platforms, can you talk about how much operating leverage you think you have there versus how much spending you might need to do on the expense side in order to achieve your growth targets going forward? Thanks.
Michael Nierenberg: I think from an operating leverage standpoint, we stand in a pretty good place. When we think about spending, I don’t see us having to spend a lot. I do think, we’re going to be able to – we’ll become more efficient. I mean, you’re taking a couple of different companies, you’re putting it together, you’re seeing extreme growth. But one thing that, we will 100% be careful of is to make sure, whether it be on the servicing side and/or on the origination side, that we continue to offer the best possible customer service to the mortgage owners or homeowners that we continue to touch. I think, efficiencies will lead to higher earnings, I do believe – and this goes back to Henry’s question about the environment, if the 10-year treasury and mortgage rates remain in this range and call it something between 1.5% and 2.5% or 1% and 2%, I do think, you’re going to continue to have a very robust origination market as the homeowner has plenty of equity in their homes at this point, assuming the economy is fine. So I don’t see a huge capital spend. We’ll spend money on technology. We’ll make strategic investments around that, if that’s going to make our business better. But we don’t anticipate a large spend there.
Trevor Cranston: Okay, great. And then, second question, I was just curious, there is a headline a few days ago about JP Morgan considering getting back into FHA lending in a more significant way. Just curious if you had any thoughts around how that might impact the market if some players who have been avoiding FHA lending start to make a push back into there? Thanks.
Michael Nierenberg: You would think, if JP or some of the large banks really make a big push to get back into that space – and I don’t know what’s real or what’s not, it will drive, it will lead to compression on the origination side from a gain standpoint. While saying that, it’s a pretty big market. And coming from one of the large money center banks, I think the idea of lending money is very key to a bank, but it’s also core to make sure it’s their so-called core customers. So when you think about that, it’s really more of a retail type product than it is some of this traffic in other areas of the origination spectrum. So I think, it will lead to tighter spreads to the extent that they back in a big way. But keep in mind, the banks want to focus on their core customers. So I still think it’s plenty of opportunity for everybody else.
Trevor Cranston: Okay, great. That’s helpful. Thank you.
Michael Nierenberg: Thank you.
Operator: Tim Hayes with B. Riley. Your line is open.
Timothy Hayes: Hey, good morning, Mike. Thanks for taking my question. My first one, I just wanted to follow-up on Matthew’s question earlier around earnings. So we understand that core earnings back out one-time Ditech related expenses and fair value adjustments on those assets, and there’s going to be some volatility in seasonality that moves earnings around. But all else equal, how do you think about the $0.61 as a run rate going forward, maybe understanding that some of the assets you’re putting on today might be at lower yield than what’s rolling off? And what you’re doing on the expense side to lower funding costs? I’m just trying to check if there’s anything else that we should be thinking about is some one-time in nature this quarter or any other adjustments that should be made?
Michael Nierenberg: Tim, I don’t think so. I think, from an earnings perspective, we pay $0.50 in dividends. We’ve always focused on not just next quarter, but multiple quarters out from a core perspective and how to achieve those targets, I think, we’ve been doing all we can to make sure that we cover our dividend and pay that $0.50 quarter after quarter, and we’ve done a pretty good job there. I do think the growth in our mortgage company stuff will continue to provide excellent support for our core earnings and our run rate. We’re looking at some numbers around our earnings, and I will say, when – from a diversification standpoint whether it be on the mortgage company standpoint or mortgage servicing right portfolio or non-agency and agency businesses and on the loan side is very, very – each one of those sectors contribute pretty significantly to our core earnings. So to the extent that one part of our business falls off, whether it be for rate or any other reasons, there’s another part of our business that will continue to contribute to earnings. I wouldn’t – I’m not going to sit here on the call and tell you we’re going to do $0.60 to $0.70 or $0.50 every quarter, right, quite frankly, is very hard. But I do think as we look forward, we feel pretty good about – at this point anyway, about being able to cover dividend.
Timothy Hayes: Okay, that’s helpful. I appreciate the commentary there. And then the Slide 8, the book value, some of the parts slide. I know you’ve talked about it before, but I appreciate seeing on paper. The sensitivity is based around expected earnings this year for those companies that you’ve made strategic investments in. Just wondering what – if you can disclose what fiscal year, I guess, 2019 earnings were for those companies? You’re using a range of $250 million to $450 million for this year. What did that look like last year?
Michael Nierenberg: These numbers are – for the most part, everything that we’ve done, whether it be Covius, whether we’ve done Guardian, whether it be the NewRez, Ditech acquisition, these numbers are really predicated around the mortgage company stuff, not Covius, which is carried at book. The NewRez definitely carried at book. Those businesses – we think that the mortgage company stuff will do – and I don’t want to just give forward guidance, but we think the $250 million plus number is something that’s very achievable after doing   in a quarter last year, just to give you a sense. So what we try to illustrate here is, if that company does this based on where we are from an acquisition perspective, where we acquired the company and the assets and where we think we’re going, we think the implied book value of our company is significantly higher. When we look at the ancillary services business in Covius, and I think the success there will be driven not only by NRZ quite frankly, by doing – by taking Covius and working with other third parties on an ancillary services business. So it’s not specific to NewRez the mortgage company. Those type of companies trade at a significant multiple, not a 6 or 7 times, if you think about like a black night or one of those type of companies, they could trade at 15 or 20 times. So the idea about building book value around the core assets that we have working with other industry participants to try to get them involved in that and have ownership there, too, quite frankly. I think, it can provide a significant lift to our book value. So really, this slide is specific around the mortgage company itself, not necessarily the Covius, Guardian and some of the other things that we’re contemplating.
Timothy Hayes: Right. Yeah, that’s helpful. And then, I guess, another thing that I don’t think is baked in year as the call right strategy. Just wondering if you were to add that to this slide, how much more value you think that could bring?
Michael Nierenberg: 100 billion times, a couple of points is $2 billion divided by 400 million shares at $5 a share. But I don’t want to – that’s – we didn’t put that in there, I think it’s – all the stuff moves around a fair amount. It depends on the market, how quickly these loans get cleaned up, how much they amortize and just other notes around that strategy.
Timothy Hayes: Of course. Yeah. No, but it’s still helpful to just get some framework there. So appreciate it. And then just my last question, the core earnings contribution from call rights this quarter?
Nick Santoro: $0.02 a share, $9 million.
Timothy Hayes: $9 million. Got it. All right. Thanks again and congrats on a good quarter.
Michael Nierenberg: Thanks, Tim.
Operator: Giuliano Bologna with BTIG. Your line is open.
Giuliano Bologna: Good morning, and congratulations on a great quarter.
Michael Nierenberg: Thanks.
Giuliano Bologna: Just to get a little bit further on the operating company earnings side. Is there a sense of how much of your services you’ve already transitioned over to a lot of those companies whether it be Guardian, Covius or Avenue 365? And what the opportunity is to continue expanding that?
Michael Nierenberg: So on Avenue 365 and eStreet, it’s – for the most part that is captive to our own origination business at this point. 100% of it doesn’t go there just because you can’t. So there’s been nothing away from that, there’s still some portion of our origination services that flow to other third parties there. As we think about Guardian, Guardian is just growing. They have contracts not only with us quite frankly. They have contracts with HUD and other third parties. There is still a lot of work to do to transfer services from – into our company. So one thing I want to be clear is we want to work with other third parties as well. So it’s not only about the specific companies that we have, but there is still a fair amount of work to do around this stuff.
Giuliano Bologna: That sounds good. And it looks like on the origination side, you guys are looking at $50 billion plus of volume. Obviously, all that would be unseasoned and probably marked at higher number on a dollar basis. But you probably have the ability to replenish investments, the majority of your runoff in the book going forward. Is there any thought process around mix? Would you sell any of those originated MSRs or would you just allow that to kind of continue to mix and mix into a more government product?
Michael Nierenberg: I think as long as we continue with our thought of providing our shareholders with our dividend, covering our dividend, and from a capital perspective, make sure we’re running the company with the right mix of product and an ample amount of capital, I don’t anticipate selling any assets around the MSRs now. One thing we did in Q4 as we did sell some non-agency bonds that were not core to our strategy. But in general, I think we will continue to see these assets we made on our balance sheet, because we need them for earnings.
Giuliano Bologna: Yeah, sounds good. Then kind of a 2-part question. Obviously, you have a big integration expense this quarter for Ditech. And then, going forward, is there any more related to Ditech that should flow through, because I believe now there is a huge lift at least from kind of a cash earnings perspective? And then, do you expect any costs related with the $40 billion potential acquisition of MSRs in the first quarter?
Nick Santoro: So in the fourth quarter, we incurred approximately $20 million of transition/acquisition expenses. Going forward from 2020 forward, the expectation is the number will probably end up between the $20 million range that will span across a couple of years.
Giuliano Bologna: That is great. I really appreciate that and thanks for taking my questions.
Michael Nierenberg: Thank you.
Operator: Stephen Laws with Raymond James, your line is open.
Stephen Laws: Hi, good morning.
Michael Nierenberg: Good morning, Stephen.
Stephen Laws: I appreciate the time here. A follow-up on the macro question, I think you hit on just the QM patch, some commentary to earlier question. but earlier this saw some news about potentially FHLB network financing opening back up. I didn’t cover you guys from 2013 to 2015, so I’m not sure if you have a captive insurer in place or – would love to see, to get your thoughts on that opportunity if it did open back up and whether that’s something you guys would pursue.
Michael Nierenberg: We did have a captive insurer. We went down the path of becoming part of the system and then they went away. So at that point, we got rid of our captive insurer just because it’s an expense. If it’s there we’re – by all means, we would like to be part of it, because we think it’s something that’s important from the funding perspective. And I will say from the funding perspective, we probably do funding transactions with about 40 different counterparties at this point. I don’t know that it’s going to happen quite frankly. If you think about what’s happening today in our world. The government is talking about taking Fannie and Freddie out conservatorship and making them private company. So I would find it hard to believe that all the sudden they’re going to be financing all of us. However, if they do, we’d love to be part of it.
Stephen Laws: Great. I appreciate the color there. I wanted to touch base, I guess, on earnings and distributions. So can you provide a mix and I haven’t had a chance this morning to go through all the filings and information that are out. But a mix of taxable REIT income versus income from the operating unit businesses, but may be in a taxable REIT subsidiary. So just trying to think about what the mixes of that – and obviously, what stability that could give you, if you decided it’d be more attractive to retain some earnings to enhance book value growth, so some of your thoughts around dividend distribution obligations versus total income?
Nick Santoro: So for 2019, we satisfied our obligation in terms of paying out our taxable earnings. We had approximately – 90% of our earnings were paid out with respect to the core earnings that we reported for the year. We expect that mix to remain about the same going into 2020.
Stephen Laws: Great. And then, lastly, I appreciate the color and build-out on the book value pro forma. How do you think about – how does that come into play Michael, when you think about stock repurchases? Are you really looking primarily a GAAP book? Is there some other value, one of these columns for example that you think about more relative to repurchasing stock? Maybe some comments on your thoughts around stock buyback and what you look at as book value?
Michael Nierenberg: Yeah, I think – a good question. If – and we’ve been pretty vocal about that. When our stock takes ahead, we typically have conversations with our board, when we’re trading well below book value to say, how should we think about this and try to put a stock buyback in place. A lot of times these – we’ll put a stock buyback in place and they don’t – the stock will rebound. If the investing environment got to a place where you can deploy capital at what we thought were attractive risk adjusted returns, by all means, I think we buy back some stock, because it would be more accretive for shareholders than investing in assets that where we think the risk adjusted returns don’t make sense. We’re always open to that. The flipside of that is, there is all these – we believe there is always things to do. We just got to maintain that proper discipline around it. And I think now that we’re in the operating business, if in fact, you thought yields are going to remain around these kind of levels, the amount of capital that we’ll put into our origination and servicing business will likely grow over time, because we think the return on equity there and the gains for it and the earnings for the company will far outpace anything we could do, if we went out to repurchase our stock.
Stephen Laws: Right. I appreciate the comments around that, Michael, and thanks for taking my questions.
Michael Nierenberg: Thank you.
Operator: We have time for one final question. Bose George with KBW. Your line is open.
Eric Hagen: Hi, it’s Eric on for Bose. Thanks for the follow-up. Just…
Michael Nierenberg: Hey, Eric.
Eric Hagen: Hey, good morning. Did you guys take a mark on the Ditech MSR after the acquisition closed?
Nick Santoro: We actually took a slight positive mark on the Ditech MSR. But it wasn’t material.
Eric Hagen: Okay, can you – okay, got it. All right, great. Thanks.
Nick Santoro: .
Operator: I would now like to turn it back over to Michael Nierenberg for closing remarks.
Michael Nierenberg: So thanks for everybody’s support and all of your questions. If you have any follow-up, give us a buzz, we look forward to continuing down this mission and path to try to provide good returns for our shareholders. Have a great day and a great weekend. Thanks.
Operator: This concludes the New Residential Fourth Quarter and Full Year 2019 Earnings Call. We thank you for your participation. You may now disconnect.